Operator: Good morning, ladies and gentlemen, and welcome to the Blonder Tongue Laboratories Second Quarter 2021 Earnings Call. [Operator Instructions] 
 It is now my pleasure to turn the floor over to your host, Ted Grauch, CEO of Blonder Tongue Laboratories. Sir, the floor is yours. 
Edward Grauch: Hi. Thank you. Good morning, everyone. Thank you for joining us and participating in our 2021 second quarter and first half earnings call. I'm Ted Grauch, Chief Executive Officer and President of the company. 
 As we give our remarks this morning, we will be discussing certain subjects that will contain forward-looking statements, including management's view of our prospects and evolving trends in the market. As you know, the future is all but impossible to predict, and so I caution you that actual results may differ materially from those that may be projected in our comments. We would ask you to refer to our prior SEC filings, including our Form 10-K for 2019 and 2020, our filed 10-Q forms for each quarter of 2020 and for the first and second quarters of 2021. Each of those filings include additional detailed information concerning factors that could cause actual results to differ from the information discussed this morning. 
 With me today is Eric Skolnik, our Chief Financial Officer and Senior Vice President. Eric's remarks will follow mine and will cover our detailed financial results. All of us will be available to answer questions that you may have during a Q&A session immediately following our prepared remarks. 
 The company saw product demand continue a recovery throughout Q2 that began in the middle of Q1. Company sales were 13.2% higher in Q2 2021 versus Q2 2020 a year ago, finishing at $4.338 million. The markets where we operate appear to be on a slow but steady recovery at the moment, with the company experiencing an approximate 8% increase in average bookings to $1.647 million per month in the second quarter compared to the first quarter of this year, 2021. These bookings have also included several first-time product wins with service providers as well as sales growth of our Clearview transcoder and NXG IP video processing product lines with several existing customers. Overall results for the first half included a modest but positive $126,000 of net cash provided by operating activities and a net income of $1.212 million. 
 As mentioned in our press release and filings, we are intentionally moving our set-top box CPE initiatives into a services, support and fulfillment business model to shift the cost of goods sold in that program onto our product partners, so we have already started seeing a reduction in revenue but expect to realize much higher margins and an improved -- and an improvement on the efficiency of our capital on those products. We're working now to grow sales of the more traditional Blonder Tongue product lines with a large group of new customers that we've established over the last 2 years by using our set-up and CPE program. 
 Additionally, we are not seeing any material growth in our DOCSIS product line since a large drop-off that happened at the beginning of the pandemic. The hospitality industry, which represents the larger share of our DOCSIS technology sales, have been slower to recover than the service operator and telecommunications market segments. The timing of potential sales growth in our DOCSIS products will generally track that industry. There will be a hospitality industry conference at the end of September, the first in over 2 years, that will let us comment with more detail on this next quarter. 
 On the topic of efficiency and margins, we had a small decline in blended gross margins since last quarter to 39%, down from 42.6% in Q1. We see this as a temporary effect from a 3-week printed circuit board supply delay that we experienced mid-quarter and some specific raw materials price increases and which together caused a slight increase in product labor in the content of our products during the quarter. We also responded with selective short-term product price increases that are now absorbing those higher material and labor costs for as long as they will last. 
 Although we have not been completely immune to the well-publicized recent global supply chain issues, our team, led by our Head of Operations, Allen Horvath; and Head of Supply Chain, Larry Walko, and their teams have managed the situation incredibly well so far. Part of this is due to the multi-decade relationships that this team has with our technology suppliers and our distributors and their overall experience level. But part of it is also because we have chosen to continue to build the large majority of our products in our own factory in New Jersey and are just more adaptable and agile to changing situations in product demand, stocking and supply chain. Where some of our competitors who build products exclusively overseas have had to begin to quote customers 4, 5 and 6 months lead times on some products, all of Blonder Tongue's U.S.-built product lines continue to be available within our normal lead times. 
 In summary, overall, it was a solid quarter on the company's path working towards a more complete recovery. We will see an upcoming large-scale resumption of telecommunications, service provider, hospitality and AV integrator industry trade shows with associated marketing activities and expanded direct customer engagements upcoming in Q3 and Q4. As we've mentioned in previous quarter earnings calls and in our press release this morning, we'll also have some new product announcements in the coming months focused on ISP data delivery technologies and furthering our expansion into over-the-top or OTT video as well as IP or Internet protocol and IPTV video technologies. 
 At this point, I would like to pass the floor over to Eric Skolnik, our Chief Financial Officer, to cover our detailed financial results. Eric? 
Eric Skolnik: Thank you, Ted. Blonder Tongue reported net sales of an increase of $507,000 or 13.2% to $4.338 million for the second quarter of 2021 from $3.831 million for the comparable period in 2020. Net income for the 3 months ended June 30, 2021, was $1.626 million or $0.11 per diluted share compared to a net loss of $1.194 million or a $0.12 loss per diluted share for the comparable period in 2020. 
 The increase in sales for the second quarter is primarily attributable to an increase in sales of video transcoder products, next-gen IP video signal processing products and digital video headend products, offset by a decrease in sales of DOCSIS data products and CPE products. Sales of transcoder products were $1.337 million and $279,000. Next-gen products were $470,000 and $285,000. Digital video headend products were $968,000 and $745,000. DOCSIS data products were $327,000 and $701,000, and CPE products were $288,000 and $1.026 million in the second 3 months of 2021 and 2020, respectively. 
 For the 6 months ended June 30, 2021, net sales decreased $292,000 or 3.7% to $7.589 million in 2021 from $7.881 million for the comparable period in 2020. Net income for the 6 months ended June 30, 2021, was $1.212 million or $0.08 per diluted share compared to a net loss of $3.274 million or a $0.34 loss per diluted share for the comparable period in 2020. Net cash provided by operating activities was $126,000 for the first 6 months of 2021 compared to net cash used in operating activities of $2.029 million for the comparable period in 2020. 
 The decrease in sales for the 6 months is primarily attributable to a decrease in sales of DOCSIS data products, digital video headend products, HFC distribution products and CPE products, offset by increase in sales of transcoder products and NXG products. Sales of DOCSIS data products were $355,000 and $1.572 million. Digital video headend products were $1.511 million and $1.802 million. HFC distribution products were $923,000 and $1.170 million. CPE products were $983,000 and $1.672 million. Transcoder products were $2.073 million and $394,000. And NXG products were $891,000 and $481,000 for the first 6 months of 2021 and 2020, respectively. 
 The company expects bookings of transcoder products to remain healthy as market exposure to and acceptance of those products continues. The companies expect sales of our CPE products to continue to trend lower than in prior periods, as Ted mentioned, as the company, consistent with its business plan, transitions these products into a higher margin, but lower revenue services, fulfillment and support business model and works to promote an expanded array of distribution, content delivery and process technology -- processing technologies to those service provider customers. 
 The company's primary sources of liquidity have been its existing cash balances, cash generated from operations and amounts available under the MidCap facility. At June 30, 2021, the company had $487,000 available under the MidCap facility. 
 As disclosed in the company's 2020 annual report on Form 10-K last year, the company experienced a decline in sales, a reduction in working capital and a loss from operations and net cash used in operating activities in conjunction with liquidity constraints. These factors raised substantial doubt about the company's ability to continue as a going concern. The above factors still exist. Accordingly, there still exists substantial doubt about the company's ability to continue as a going concern. The financial statements do not include any adjustments relating to the recoverability of the recorded assets or the classification of the liabilities that might be necessary should the company be unable to continue as a going concern. 
 Now I'd like to open up the floor to the question-and-answer session. 
Operator: [Operator Instructions] Your first question is coming from [ Gregory Urban ]. 
Unknown Analyst: Number one, on the cash flow, it looks like maybe this quarter was slightly negative. Is that correct? 
Edward Grauch: Yes, very slightly negative. 
Unknown Analyst: Do you expect over the next quarter or 2 for that to run positive? 
Edward Grauch: I can tell you we're doing everything we can to make it positive. I definitely did not come over to Blonder Tongue or I think the management team here to continue with negative cash flow. It's simply a matter of in the short term, we had some supply chain challenges. I think we did a fantastic job working with them. You look at our competitors and a lot of stuff in the industry, you see news articles about Ford having to stop producing pickup trucks and all sorts of things because the lack of chips. Our team worked around basically everything that was coming at them on a weekly basis. It did consume a little more cash than we had planned for the quarter. 
 I cannot sit here and say that we've seen a dramatic recovery in the supply chain situation, but it's definitely stable at the moment. We do not have any particular things we know of that are going to catch us in the next quarter, but we remain a little guarded, and I can't give you any firm commitment. But if things work the way that we believe they're going to work, then we'll see an improvement on the cash flow going forward. 
Unknown Analyst: And pricing, any chance by year-end we might see a positive EBITDA? 
Edward Grauch: I mean, certainly, again, we're not here running this company to continue to run negative EBITDA business. The market has not fully recovered yet from the pandemic. Although we are seeing good, solid, steady, slow progress towards where we need it to be. We're also bringing out some new products in the second half. You add all those up, and I think we'll get there eventually. I cannot sit here and give you any particular guidance on if we'll get there in the second half particularly, but I do believe we will get there long term. 
Unknown Analyst: Could you elaborate on the new products? Is that for [ hip ] [indiscernible]? 
Edward Grauch: Yes, they're a combination of products that will modernize some of our older video modulation and video transmission equipment. There are a few things related to expanding our products in the data delivery or ISP service provider business, which we don't do a lot of business in today, it's very small; and a few other products that will expand the sort of modernization and newness and relevance to some broadcasting customers that we have long term. It's a combination. 
Unknown Analyst: That might increase your R&D over the next quarter or so? 
Edward Grauch: I'm sorry, the what? 
Eric Skolnik: The R&D. 
Edward Grauch: Oh, no, we're not increasing our R&D costs. No. Our R&D costs are very, very steady. I cannot think of anything that we're doing that would have a specific increase of the... 
Unknown Analyst: The headcount now compared to last quarter? 
Edward Grauch: It's about the same. 
Unknown Analyst: All right. Other couple of things. Given the spread of this Delta variant, what impact are you seeing near term with the COVID? 
Edward Grauch: So not to overly mimic what I'm hearing politicians say, but right now, it seems to be the pandemic of people that have not gotten vaccinated. Our customers are not behaving any different in any big way from what we've seen them do in this slow, steady recovery. We're not seeing any knee jerk reactions. We're not seeing any big, negative turns. We're not seeing people cancel meetings or anything like that. There's no -- right now, at this moment, we don't see any big changes. 
Unknown Analyst: That's good to hear. And I know -- I heard because I had a tech come in to my upgrade my DIRECTV receiver that there's going to be a change of ownership on DIRECTV. And any comment on what that might mean for Blonder? 
Edward Grauch: I would say that we've never had as good a relationship or as strong of a active selling market for our technology into the DIRECTV dealer market as we have right now. It is growing. It's strong. We have new products that are hitting that market now that we've put out over sort of slowly in increments over the last year. And they're all being well received, and they're all growing. So -- and we keep in touch with the guys at DIRECTV in the middle and upper management, and things are good. They're telling us it's business as usual. They're all excited about the ownership change. They feel like they'll have a management team that's entirely focused on their business segment as opposed to a wider range of conglomerate activities that -- their old management team are more focused on the telephone business, wireless and entertainment. Not that there's anything wrong with that, but I can tell you the people we talk to are very excited about the transition. They feel that there'll be a good focus on their business, and they don't see any disruptions or anything that they're thinking or planned at this point. 
Unknown Analyst: Okay. That's good to hear. That's all I have right now. So I'll get -- I'll look at the 10-Q. Look forward to hearing from me in future quarters. 
Operator: We have no further questions from the lines at this time. I would now like to turn the floor back to Ted Grauch for closing remarks. 
Edward Grauch: Great. So thank you, everybody, for attending the call, and we appreciate your continued support in the company and interest in Blonder Tongue Laboratories and look forward to talking to you all again next quarter. Thank you. 
Operator: Thank you, ladies and gentlemen. This does conclude today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.